Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to today's Titan Machinery Second Quarter Fiscal Year 2014 Conference Call. [Operator Instructions] Hosting today's conference will be John Mills, ICR. As a reminder, today's conference is being recorded. And now, I'd like to turn the conference over to Mr. John Mills. Please go ahead, sir.
John Mills: Thank you. Good morning, ladies and gentlemen and welcome to Titan Machinery's Second Quarter Fiscal 2014 Earnings Conference Call. On the call today from the company are David Meyer, Chairman and Chief Executive Officer; Peter Christianson, President; and Mark Kalvoda, Chief Financial Officer. By now, everyone should have access to the earnings release for the fiscal second quarter ended July 31, 2013, which went out this morning at approximately 6:45 a.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of Titan's website at titanmachinery.com. This call is being webcast and a replay will be available on the company's website as well. In addition, we are providing a slide presentation to accompany today's prepared remarks. We suggest you access the presentation now by going to Titan's website and clicking on the Investor Relations tab. The presentation is directly below the website -- webcast information in the middle of the page. Before we begin, we'd like to remind everyone that the prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. The statements do not guarantee future performance and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of Titan's most recently filed 10-K and subsequent 10-Q. These risk factors contain a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. Titan assumes no obligation to update any forward-looking statements that may be made in today's release or call. [Operator Instructions] The call will last approximately 45 minutes. David Meyer will provide highlights of the company's second quarter results, a general update on the company's business, then Mark Kalvoda will review the financial results in more detail and Peter Christianson will discuss the company's segment operating results and its fiscal 2014 annual revenue, net income and earnings per share guidance ranges, along with its outlook modeling assumptions. Then, we will open the call to take your questions. Now I'd like to introduce the company's Chairman and CEO, Mr. David Meyer. Go ahead, David.
David Joseph Meyer: Thank you, John. Good morning, everyone. Welcome to our second quarter of fiscal 2014 earnings conference call. As John mentioned, to help you follow today's prepared remarks, we have provided a slide presentation, which you can access on the Investor Relations portion of our website at titanmachinery.com. If you clicked on the Investor Relations tab on the right side of the page, you'll see the presentation directly below the webcast in the middle of the page. On Slide 2, you will see our second quarter fiscal 2014 results. Our revenue for the second quarter was $488.2 million, a 19% increase over the last year's second quarter. This sales performance reflects higher year-over-year revenue for our Agriculture, Construction and International business segments. Pretax income was $6.6 million and our earnings per share was $0.18. While our higher-margin Parts and Service business performed well in the second quarter, this was offset by lower-than-expected new and used equipment margins. On today's call, we will review the performance of each of our segments, including equipment margin pressure that is affecting our industry. We will update you on our Construction segment key initiatives. And finally, we will provide an equipment inventory overview and share our revised fiscal 2014 guidance and modeling assumptions. Now I'd like to provide some color on each of our industries that are key to our business. Turning to Slide 3, we provide an overview of our agriculture industry. In our footprint, anticipated annual crop production has been impacted by several factors. 2.6 million acres or 52% of U.S. corn and soybean prevented planting is in the Titan footprint. Also, dry conditions and recent high temperatures are expected to affect crop production in our footprint and lead to lower production compared to other regions of the United States that are experiencing more favorable conditions. Regarding our Eastern European footprint, crops continue to be in good condition, with early harvest results generating strong yields. USDA forecasts continued to project large corn production in the U.S. for calendar year 2013, which is reflected in lower commodity prices. In addition, due to the hot and dry August in the Western Corn Belt, which is primarily in Titan's footprint, crop conditions are deteriorating compared to a more favorable Eastern Corn Belt area. The new 5-year U.S. Farm program has been in the legislative process since the beginning of the year. Many people were expecting a final vote earlier in the year. However, the final plan is unclear at this time and the final vote has not been set as of today. Completing the new Farm program will give farmers better visibility to plan their business going forward. As a reminder, the current production year is covered by the existing Farm program. The ag equipment industry is experiencing price increases in advance of Tier 4 final pricing. Our inability to achieve full price realization could affect sales and margins in the back half of the year and is taken into account in our guidance. The industry is experiencing pressure on used equipment prices, reflecting the lower commodity prices and oversupply of used equipment. Now, I will turn to the Construction segment of our business. On Slide 4, we provide an overview of the construction industry and our markets. The conditions in the second quarter were very similar to the first quarter, as the weak economic recovery continues to impact the construction industry, and excess industry equipment inventories are likely to continue through the second half of calendar year 2013 until they align with end-user demand. With our expanded distribution and large geographic footprint on the Construction business, there are different drivers within the 11-state geography we cover. This diversification demonstrates one of the positives we achieved through scale. In the Upper Midwest, the ongoing buildout of the Bakken adjacent oil reserves and related infrastructure continue to support the construction industry. In the Southwest, the strong increase in year-to-year housing permits reflect a recovery in the housing industry, which is driving the construction industry. Second quarter housing permits throughout the majority of our footprint are up year-over-year. We continue to see growth in rental demand, which is aligned with industry forecast. We have increased the size of our rental fleet by 41% and have been able to maintain a similar utilization rate year-over-year. Now turning to Slide 5, I would like to provide an update on key initiatives we are focused on to improve our Construction business in fiscal 2014. In addition to our traditional retail platform, which is in every CE dealership, in the second quarter of fiscal 2014, we established organizational platforms to leverage specific expertise across our distribution footprint. We continue to make key personnel changes. We recruited and hired a new Vice President of Construction Operations with 25 years of management experience in the industry. We also hired senior managers for our aggregate, rental, industrial and government organizational platforms with major account managers. Collectively, these new personnel bring 130 years of management expertise to our team. Utilization of our expanded rental fleet is key to achieving our operational targets. Our second quarter of fiscal 2014 utilization was 29.1%. With our increased visibility for the year, we are adjusting our utilization modeling to 31%, which is what we achieved in fiscal 2013. Our Senior Manager of Rental Operations is now in place and contributing to our ongoing efforts to have us well positioned to capitalize in this growth area. Next, we are focusing on increasing the sales volume per location to leverage operating expenses and drive operating margins. We're expanding our retail, major accounts, governmental and rental sales force for better market coverage. We expanded our rental fleet $40 million -- $43 million to $140 million to drive rental revenue. We're in the process of making facility improvements to support growth in key markets. Lastly, we are focused on improving inventory management, which will result to a lower floorplan interest expense. In the first half of fiscal 2014, we reduced our construction equipment inventory by $33 million. We believe that successful execution on these key initiatives will lead to improvements in our Construction segment profitability and will position us to participate when the industry begins to recover. Before I turn the call over to Mark, I'd like to comment on our acquisition growth. We have slowed our acquisition pace and are focused on integrating our recent acquisitions into our distribution network and positioning our business to achieve improved leverage going forward. Over the past few years, we have significantly expanded our dealership network, including growing our ag presence in the core Upper Midwest markets and expanding our construction network. We now have a contiguous CE footprint from Mexico to the Canadian border. We also established our international presence with select acquisition and new store openings in Eastern Europe. Long term, we are confident that each of these 3 segments, Agriculture, Construction and International, will be key structural components of Titan Machinery's long-term top and bottom line growth. Now I'd like to turn the call over to Mark Kalvoda, our Chief Financial Officer, to review our financials in greater detail.
Mark P. Kalvoda: Thanks, David. Turning to Slide 6. The total revenue for the fiscal 2014 second quarter grew 19% to $488.2 million, reflecting growth from acquisitions and same-store sales increases in our Agriculture and International segments, partially offset by a decline in Construction same-store sales, reflecting the challenging construction industry conditions mentioned by David earlier. All of our revenue sources increased quarter-over-quarter, with particular strength in our higher-margin Parts and Service, which is the recurring revenue part of our business. Parts were up 22% and Service was up 30.9%. The increase in Rental revenue of 24.1% reflects our larger rental fleet compared to the same period last year. On Slide 7, our gross profit for the quarter increased 18.7% to $83.5 million, reflecting higher revenue. Our gross profit margin was 17.1%, a decrease of 10 basis points compared to the same quarter last year. The second quarter equipment margin was 8.2%, which is below our expectations, partially due to the used equipment margin pressure that David mentioned earlier. This was a 60 basis point decline from equipment margins of 8.8% in the second quarter of last year. The lower equipment margins were primarily offset by the increase in gross profit from the higher-margin Parts and Service business. Our operating expenses as a percentage of net sales in the second quarter of fiscal 2014 were 14.4% compared to 13.8% the same quarter of last year. The increase in operating expenses as a percentage of revenue primarily reflects lower fixed operating cost leverage in our Construction segment due to the negative same-store sales growth and higher expenses related to our recently acquired construction stores, which are underperforming in the metro markets where they are located. Higher occupancy costs associated with facility improvements to support growth of our higher-margin Parts and Service business also impacted our expenses. Our overall interest expense increased 20 basis points, which was driven by equipment inventory levels. Our pretax income was $6.6 million or a pretax margin of 1.3% compared to pretax income of $8.8 million and a pretax margin of 2.1% in the second quarter of last year. The quarter-over-quarter decline primarily reflects the lower company equipment margins and higher operating costs associated with the Construction segment. Earnings per diluted share for the fiscal 2014 second quarter was $0.18 compared to earnings per diluted share of $0.25 in the second quarter of last year. On Slide 8, you'll see our results for the first 6 months of fiscal 2014. Our revenue in the first half of fiscal 2014 was $929.9 million, an increase of 11.8% compared to the same period last year, reflecting growth in all 4 streams -- revenue streams. Turning to Slide 9, our gross profit in the first 6 months of fiscal 2014 increased 11.9% to $157.5 million. Our gross margin was 16.9%, flat compared to the same period last year, as lower equipment margins were offset by a shift in mix to higher Parts, Service and Rental revenue. Our operating expenses increased 150 basis points, primarily reflecting relatively flat overall same-store sales during the first half of fiscal 2014, and my previous comments regarding our second quarter Construction segment and the increased expenses associated with the investments in our facilities support long-term Parts and Service growth. In the first half of fiscal 2014, our earnings per diluted share was $0.16 compared to $0.60 in the same period last year. Turning to Slide 10, we provide an overview of our balance sheet highlights at the end of the second quarter of fiscal 2014. We had cash of $102.4 million as of July 31, 2013. Our inventory level was $1.1 billion as of the end of the second quarter compared to $929 million as of the end of fiscal 2013. Of the $177 million inventory increase, approximately $35.3 million was from acquisitions. New inventory, including acquisitions, increased $163.2 million from the end of fiscal 2013. And our used equipment inventory, including acquisitions, decreased $5.1 million from the end of fiscal 2013. Peter will provide additional color on our equipment inventory. We increased our rental fleet assets to $149 million compared to $106 million at the end of fiscal year 2013 to support our expansion of this growth platform. The fleet increase was primarily in our newly expanded footprint in the Colorado, New Mexico and Arizona markets. As of July 31, 2013, we had $130 million available on our $975 million floorplan lines of credit. Slide 11 gives an overview of our cash flow statement for the second quarter of fiscal 2014. When we evaluate our business, we look at our cash flow related to the equipment inventory, net of financing activities, with both manufacturers and other sources, including non-manufacturer floorplan notes payable, which are reported on our statement of cash flow as both operating and financing activities. When considering our non-manufacturer floorplan proceeds, our non-GAAP net cash use for inventories was $56.2 million in the first 6 months of fiscal 2014. Our GAAP cash used for inventories was $218.6 million in the first 6 months of fiscal 2014. In our statement of cash flows, the GAAP reported net cash used for operating activities for the first 6 months was $48.5 million. We believe including all equipment inventory financing as part of our operating cash flow better reflects the net cash flow of our operations. Making these adjustments, our non-GAAP adjusted cash used for operating activities was $27 million. Now I would like to turn the call over to Peter to discuss the Agriculture, Construction and International operating segments in more detail, our inventory management overview and to discuss our fiscal 2014 annual guidance. Peter?
Peter J. Christianson: Thanks, Mark. On Slide 12, you'll see an overview of our segment results for the second quarter. Agricultural sales were $367.5 million, up 17%. This growth was driven by acquisitions and positive same-store sales results in the quarter. We generated Ag pretax income of $9.8 million, compared to $10 million in the prior period. And as David and Mark mentioned, our Ag business was impacted by lower equipment margins, which was the primary driver of our lower pretax income. Turning to our Construction segment, our revenue was $97.9 million, up 2.8%, which reflects acquisition growth, offset by negative same-store sales. Industry conditions remain challenging for this segment of our business. The pretax loss of $1.7 million was primarily the result of lower equipment sales and increased expenses associated with recent acquisitions. Although we have not achieved our operating targets, we believe this segment of our business represents significant future earnings leverage, as we are able to improve operating margins going forward. As David mentioned, we are executing on our key initiatives to improve this segment of our business. In the second quarter of fiscal 2014, our International revenue was $39.9 million, 103.3% increase compared to the prior year period. This reflects the acquisitions and new store openings made in fiscal 2013 and the first quarter of 2014, as well as higher same-store sales for our dealerships that have been in our network for the full year. Our pretax income for International was $0.1 million compared to $0.4 million in the same quarter last year, reflecting costs associated with building our distribution network. We're establishing our international operations and believe this business represents an additional structural component of our long-term growth strategy. Turning to Slide 13, you'll see our segment results for the first 6 months of the year. Ag revenue growth primarily represents acquisition growth. Ag pretax income reflects our lower equipment margins previously mentioned and an increase in the floorplan interest expense. Our Construction segment revenues represent acquisition growth, offsetting negative same-store sales growth. Construction pretax loss reflects lower equipment margins and higher rental and floorplan interest expense, in addition to the increased expenses associated to our recent acquisitions previously mentioned. Our International segment 6 months results reflect the same factors I mentioned regarding our second quarter segment overview. Turning to Slide 14, this slide shows our same-store results for the second quarter of fiscal 2014. Our overall same-store sales increased 9.6%. The Agricultural same-store sales increase of 12% was favorably impacted by a shift in revenue from our first quarter due to the late spring. Our second quarter fiscal 2014 Construction same-store sales decreased 6.1%, reflecting the challenging industry conditions. Our International same-store sales increased 44%, primarily driven by increased equipment inventory availability. For the second quarter of fiscal 2014, overall same-store gross profit increased 10.1%. Ag same-store gross profit reflects lower equipment margins and Construction same-store gross profit primarily reflects a shift in sales mix to our higher-margin Parts and Service business. International same-store gross profit is primarily the result of increased sales. Slide 15 shows our same-store results for the first 6 months of fiscal 2014. First 6 months same-store sales increased 1.4% compared to the prior year period. As a reminder, in Q1 of this year, we had negative same-store sales for both Agriculture and Construction. Same-store gross profit increased 2.3% compared to the prior year period. For modeling purposes, it's important to remember that we calculate same-store sales by including stores that were with Titan for the entire period in which we're comparing. In other words, only stores that were part of Titan for the entire 3 months of the second quarter of fiscal 2013 and the second quarter of fiscal 2014 are included in the second quarter same-store comparison. In the second quarter of fiscal 2014, a total of 12 locations were not included in our second quarter same-store results, consisting of 5 agricultural stores, 5 construction stores and 2 international locations. For the first 6 months of fiscal 2014, a total of 23 locations were not included in our first 6-month same-store results, consisting of 6 agricultural stores, 8 construction stores and 9 international locations. Now turning to Slide 16, I'd like to provide some color on our inventory strategy. This graph shows our equipment inventory quarterly stocking levels and our sales for the past 5 years, including projections for the remaining 6 months of fiscal 2014. Prior to the low interest rate environment in the fourth quarter of fiscal 2009, we operated at a 3x inventory turn. Beginning in fiscal 2010, taking advantage of the low interest rate environment, we have maintained a relatively consistent 2x inventory turn to support our aggressive sales growth in the markets we operate in. Our equipment inventory is in 2 groups. New inventory is represented by the blue bar and used inventory by the red bar. Given the fact that market fluctuations connected with used equipment is the responsibility of the dealer, we have maintained a prudent approach with the management of our used equipment inventory, which is reflected in the graph. We have been disciplined to move used inventory through the market in a timely manner and continue to do so. The new inventory values are supported by manufacturer retail sales -- retail programs, and so the primary risk to the dealer on new equipment inventory is the carrying cost, which is reflected in our floorplan interest expense. It's important to remember that approximately 50% of the new inventory is financed with manufacturer noninterest-bearing terms. As you can see, we've been growing our new inventory stocking level more aggressively than our used inventory, positioning us to take advantage of market conditions. We began changing our inventory management strategy last year to return to an increased inventory turn. We have focused additional resources and controls on the procurement process. In the second quarter of fiscal 2014, we completed the store rollout of our ERP system, which provides enhanced visibility to our inventory order pipeline and on-hand inventory, as well as providing an integrated procurement process which supports regional oversight and approval for all store ordering. We're also promoting pre-sell programs. Given the visibility we have in this year's sales levels and inventory orders in the pipeline and our required additional stocking to support our Eastern European expansion, we anticipate a relatively flat inventory turn for the remainder of the year. We expect to see our new inventory levels peak in the third quarter, prior to our forecasted inventory decrease in the fourth quarter. Our inventory strategy has always been to stock new equipment sufficiently for the fourth quarter, as our customers need physical possession of the equipment to qualify for year-end tax incentives. Slide 17 shows our fiscal 2014 annual guidance. We're updating our annual revenue, net income and earnings per share guidance. We now expect fiscal 2014 revenue to be in a range of $2.25 billion to $2.45 billion. We expect our net -- our annual net income attributable to common stockholders to be in the range of $25.4 million to $31.8 million, resulting in an earnings per diluted share range of $1.20 to $1.50 and based on an estimated average, diluted common shares outstanding of 21.2 million shares. Our modeling assumptions supporting our guidance are as follows. We expect our Ag same-store sales to be in the range of negative 2% to positive 3% compared to previous guidance of 0 to 5% positive. We're also revising our Construction same-store annual growth to be in the range of negative 2% to positive 3%, compared to the previous range of 0 to positive 5%. Our equipment margins modeling assumption for the full year are now projected to be in the range of 8.6% to 9.1% compared to the previous range of 9% to 9.5%. We are modeling annual rental dollar utilization to be in the range of 30% to 32%, compared to our previous range of 34% to 36%. This concludes the prepared remarks of our call. Operator, we're now ready for the question-and-answer session of our call.
Operator: [Operator Instructions] We will take our first question from Michael Cox with Piper Jaffray.
Michael E. Cox - Piper Jaffray Companies, Research Division: My first question is on the comment you made about struggling to achieve full price realization on some interim Tier 4 equipment. I was wondering if you could expound a bit on that, and then also speak to the -- your customers' appetite for the final Tier 4 equipment that will be launched next year?
David Joseph Meyer: Well, what we've been seeing in the industry is, year-over-year, transaction price increases prior to the Tier 4 finals out there. So somewhere in that range of probably 4% to 8%, and that's going to vary by product. So that's a challenge in any kind of environment when -- but when you see the ag [ph] component with decrease in commodity prices and deterioration in crops on our markets, that kind of compounds that problem. So to answer your question about Tier 4-B, there isn't a lot of price visibility yet to Tier 4-B or Tier 4 final out there right now at this point in time. I think a lot of the benefits to the customers will realize that between the Tier 3 to the Tier 4, as far as from a fuel economy standpoint and some type of things. But in conjunction with the Tier 4-B, typically either [ph] as product enhancements, model changes and some things like that, so -- but I think the biggest impact right now is I think some of the transitional price increases which we're experiencing today in the marketplace.
Michael E. Cox - Piper Jaffray Companies, Research Division: Okay, that's helpful. And I appreciate the additional color on inventory through the balance of the year. And as you look ahead to next year, is it realistic to assume we work -- that we work back towards a 3x turn, or is a lower number a more realistic target at this point?
David Joseph Meyer: I'd say that a lower number would be a more realistic target. It takes time to move that turn from where our existing operating inventory levels are at. It takes time to move that through the system and work it through the retail distribution channel and work that down to an inventory level that supports a 3x turn. So I don't see the 3x happening probably in the next year, but we will be moving towards that direction.
Operator: We'll take our next question from Steve Dyer with Craig-Hallum.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: The -- even the lowered guidance still implies a relatively aggressive ramp into the back half of the year. Just given commodity prices, crop conditions, the absence of a lot of corn in the bins, et cetera, how much visibility do you have into your customers' sort of sentiment in spending plans, especially with kind of 179 -- Section 179 still up in the air? How confident are you kind of in the way the back half of the year plays out?
David Joseph Meyer: Well, first of all, you see some real historic buying patterns. You get some year-over-year rolls. I mean, there's some pre-sell business in the system. You referred to Section 179, but we definitely have -- I mean, there is a lot of farmer income that was put into this calendar year. So from their tax standpoint, the Section 179 and 50% bonus depreciation still into effect for this year for the tax purposes. There's some positives out there. Livestock's strong right now. I see -- you're seeing some good buying opportunities in the fertilizer side of the business, there still really relatively low interest rates. Balance sheets of our customers remained strong. So there is still real positive here as we go into -- support our numbers for the Q4.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Okay. The Parts and Service business was obviously a really nice bright spot in the quarter. Anything from a weather standpoint or what have you that was an anomaly there, or how sustainable is that trend?
Peter J. Christianson: As I mentioned, our second quarter was impacted by the weather pattern. If you recall, in the first quarter, it was an extremely late planting season, so some of that after-sales product support revenue did come in to the second quarter.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Okay. Last question for me and I'll turn it over. The rental business, even though you added a lot of inventory, seems to be, from a utilization standpoint, challenged. Just some thoughts there on going forward. Is that a piece of business you're going to remain committed to, and how do you think about that going forward?
David Joseph Meyer: Yes, that's a nice piece of construction equipment business. We're fairly new to that business, but I think the people we put into place, some of our processes, our systems, some of the -- where we got the equipment located, in which markets, I think there are a lot of positives out there. So we really have some good people in place right now and we're very committed to that business. You're going to, I think, see a very positive impact to our bottom line as we get through the quarters with that.
Operator: We'll go next to Mig Dobre with Robert W. Baird.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: So I guess, the first question for me would be on the equipment gross margin. It looks like that was really the big adjustment to the guidance and expectation this quarter end. I'm wondering, as you're thinking about the risk in gross margin going forward, if we were to look at say a calendar 2014 environment in which new equipment sales are actually down year-over-year and used equipment prices continue to be hedged the way they have been hedged so far, how do you gauge the risk to gross margin going forward? Could we be looking at something in the low 8s? Is that too aggressive? Is that too conservative? Any color would be helpful.
Peter J. Christianson: Well, if you look at our results, historically, gross margin on equipment has gone down. It's moved from 8% up to as high as 11%. And with the current inventory levels throughout the industry and the macro lower commodity prices, that's what's been putting pressure on our equipment margins. And so we have to see, as we get increased visibility going forward into 2014 -- calendar year 2014, how that will play out with our margins.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay. But you can point to some -- if -- historical times actually, if you would, maybe going beyond your track record as a public company to where you've had an environment that would help us out in gauging this risk.
Peter J. Christianson: Well, I guess if you look at the total numbers for Titan, since we've been a public company, that would give you some color on what the range has been on our equipment gross margins over the last 5 years, 5 years plus.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: All right. And then I'm also wondering, when you're talking to the OEM, what is your sense for their thinking as far as special incentives that they're looking to roll out? Or any really support that they could be potentially giving you, given the fact that there is quite a bit of inventory in the channel, particularly on the combine side of things?
David Joseph Meyer: Well, I think that's one thing you'll probably have to talk to the manufacturers about. But I think you're going to continue to see the manufacturers be competitive in the marketplace, depending on the market conditions. Like I say but that, there, I think you're going to have to ask the manufacturers about it.
Operator: And we'll go next to Rick Nelson with Stephens.
N. Richard Nelson - Stephens Inc., Research Division: I would like kind of to explore what -- a little deeper on the equipment margin pressures. If we could look at the Construction segment equipment margin, as well as, separately, from the Ag segment margin, as well as new and used, I'm trying to gauge where the pressures are greatest. And what your assumptions are then for the back half of the year?
Mark P. Kalvoda: Rick, Mark here. Yes, I think on both sides, we're seeing some pressure now. We talked probably a little bit more about some of the Ag pressures out there, given the weather and commodity prices. But we still have that overhang of inventory, excess inventories, in the distribution channel out there in the industry for construction. So we're still seeing some of that pressure that's coming through on our margins. And for the balance of the year, we are expecting lower equipment margins from what we expect -- from what we achieved last year on both the Ag and Construction. And that's leading to some of the lower guidance on those equipment margins.
N. Richard Nelson - Stephens Inc., Research Division: And in terms of a new guide, what would be your segment Construction assumption? Will you be profitable there? You're down, I think, $8 million through the first half.
Mark P. Kalvoda: Yes. So with some of the seasonality that we see with the third quarter, we do anticipate getting into the black somewhat. But then because of the seasonal low that happens or the lower seasonal activity that happens in Q4, it is down. So the balance of the year, we still see ourselves in the red, but we're making progress over year-over-year comparisons to quarters from fiscal '13.
N. Richard Nelson - Stephens Inc., Research Division: And then finally, on the acquisition pace. In a typical year, you would target 10% to 15% acquisition growth. Are you basically closing the spigot on acquisitions or just a reduced pace versus a normal year?
David Joseph Meyer: No, we're -- like we said, we slowed the pace. No, we have not closed that. In fact, there is ongoing conversations out there. You're probably not seeing a lot of really motivated sellers at this point of time. I think we're a little sensitive with the pricing discipline. And at the same time, as we discussed, we want to make sure we're getting the operation of our recently acquired stores up and going and the improvements we want to do on the Construction side and we're really focused in -- all-hands-on-deck effort in a lot of those functions. At the same time, no, we're definitely in the loop on acquisitions and we are a growth company and continue to look at a long runway as we get through this next 2 or 3 years on the acquisition front.
Operator: [Operator Instructions] We'll go to Larry De Maria with William Blair.
Lawrence T. De Maria - William Blair & Company L.L.C., Research Division: I just want to continue to talk on the used market. How broadly based is the weakness on used side? Is it still mostly combines? If you could talk about Titan versus the industry, when do you think this correction normalizes the industry, because it seems like it might be a nagging issue into next year? It may structurally lower used price levels into next year, which might be a softer new environment. And then finally, on the used side, is the industry -- and are you guys, at this point of time, trying to liquidate inventory through auctions more so, or still trying to have an orderly [ph] sale through -- to the retail channel? That's the first part.
David Joseph Meyer: Sure. Well, let's talk about combines first. So we'll go back to the beginning of the year. We came up on really, really strong Q4 with a lot of revenue, a lot of new combine sales and resulting in a lot of used combine sales. So we had a good number of used combines in the system. In addition, the industry for combines really heated up in Q1 and Q2. So as a result, all brands, a lot have used combines. So proactively, we've put a lot of things in place, a lot of price discipline. We try to get ahead of the market, a lot of early bird type things. And I think we've really done a good job managing our combine inventory, say, against maybe the industry and maybe some of our competitors out there. So right now, if you look at the number of -- the number and the used dollar value of our used combine inventory, it's fairly flat, if not a little bit less than where we were a year ago. So we think we've done a really good job. And like I say, we started off early in the year, so we think we're in pretty good shape on that right now. I would say, combines is always where you've got probably your most vulnerability on that. I think the tractor inventory, even though there is a little bit of pressure because of some of these outside macro factors on commodity prices and some of the crop situations in some markets, tractors seem a little bit more stable than combines are. One thing I think that's going to help some of these used values too, as you see, as we discussed some of these transaction price out there in advance of Tier 4 final could actually help support some of these used markets out there. So I think we're very aware of that. And if you saw our chart that we do really focus on that. And I think some of our used margins that we've presented here in Q1 and Q2, as a result of pretty prudent used inventory management on our part.
Lawrence T. De Maria - William Blair & Company L.L.C., Research Division: Okay. That's very helpful. And then I'm obviously trying to think about next year for you guys in the industry. And you touched on some of this stuff already. But can you just specifically talk about, for Tier 4, how present prelim [ph], may be a pre-buy, how the specific Tier 4 order border [ph] shaping up pricing, and when equipment will be available, because obviously, some of the OEs will be using some credits that might not be available until -- the transition might be in the spring or something. And then given the softness we're expecting in Ag into the second half, I guess, and lower commodity prices at Tier 4 transition, can you just give us some kind of framework about how you guys might think about maybe same-store sales into next year? Are they down moderately, down more sharply? Just to give us some comfort about how things -- how you guys see things progress given where we see in the market.
David Joseph Meyer: Well, first of all, we need a little more visibility before we can really comment with any degree of accuracy on calendar 2014. We do have a good number of Tier 4-A units on hand right now that -- and some of these have some nice price advantages to them, I think, which is going to be a positive. So as you look at the Tier 4 final rollouts, you're going see that really vary by manufacturer and by products throughout next year. So the timing of these, there's a lot of positioning going on with the manufacturers, there's a lot of prebuilds going on here. So this is -- it's a pretty dynamic and pretty fluid -- that's going on right there. So I think we're in a good position. We've got some good experience on that. We've got some good people, we're continuing communications. So I think we're going to manage our inventory, the pricing of our inventory and really gauge this as we see things roll out by different product classes in the next calendar year.
Lawrence T. De Maria - William Blair & Company L.L.C., Research Division: Right. So I think your principal competitor is out already opening up order boards [ph] for the Tier 4 equipment, the final equipment. Are you guys out taking orders specifically on Tier 4, or are you still in the waiting process?
David Joseph Meyer: Well, yes, I think we're going to see fairly consistent to last year as we built our inventory in Q in 2, 3 -- in Q2 and Q3 to take advantage of the year-end tax buying in Q4, so we're going to continue that. And in addition to that, we also do a degree of presell for deliveries in the Q1 and Q2 of calendar year 2014. So I think we're going to continue pretty consistent to what we've done over the last several years and it's worked real well for us.
Lawrence T. De Maria - William Blair & Company L.L.C., Research Division: Okay, that's what I'm trying to understand on the pre-sell, but it sounds like it's pretty still early on the pre-sells.
David Joseph Meyer: Correct.
Operator: And we'll take one more question from Joe Mondillo with Sidoti & Company.
Joseph Mondillo - Sidoti & Company, LLC: Just had a question on inventory. I'm just trying to get a little more detail on how you're sort of managing that, given the fact that same-store sales at Construction were down 6%. Ag was up 12%, but a lot of that was due to Parts and Services. So I imagine the equipment parts was maybe flattish, and it's supposed to get worse in the back half. So my question is, with inventory up 18% year-over-year in the second quarter, at the end of the second quarter, why would that be? And why would you continue to build into the third quarter? I know that's how it seasonally usually plays out. But given the weaker demand, I would have expected maybe sort of a -- maybe a little more of a flatter trend through the back half?
Peter J. Christianson: Well, there are several things that go into our inventory forecasting and inventory level management, and one of them is that I talked about the growth on our Eastern European expansion and we've put in substantial inventory stocking levels to support that growth. And in addition to that, we do feel like our historical buying patterns will still be in place and that's what we built our guidance on -- our outlook for you. And as well, we made our forecasts and we have to make our order pipeline for our inventory well in advance of when the inventory ships. And so as we get more visibility into our year, then we'll adjust our order pipeline accordingly going forward for our stocking levels for 2014.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then just...
Peter J. Christianson: Mark?
Mark P. Kalvoda: I'm sorry, Joe, just on the -- as far as the equipment same-store sales, when you have 12% increase like that in that segment, with 75% to 80% coming from the equipment, the equipment sales were positive as well. They weren't flat on the Ag side for same-store for the quarter.
Joseph Mondillo - Sidoti & Company, LLC: Okay. Yes, I guess I was just trying to indicate -- I mean, it looks like the back half is going to be flattish to maybe slightly down, around flattish, I guess. So it just seems like year-over-year, it seems like the inventory should be maybe a little lower. But I understand the comments that you just said. So I just had a follow-up question though. I was just wondering what your sort of anticipation of the floorplan interest rate expense should be, given the, what, the 0% interest inventory that you have out there?
Mark P. Kalvoda: I didn't get that last part, the 0% interest.
Joseph Mondillo - Sidoti & Company, LLC: I'm just trying to get an idea of how you expect the floorplan interest rate to trend throughout the next couple of quarters.
Mark P. Kalvoda: Yes, as far as the rate goes, the rate would remain relatively constant. We're not expecting -- we're not anticipating a jump in LIBOR, which most of our floorplan, our interest-bearing floorplan is based on. However, with -- and you can see it on the chart, with the higher levels of inventory, so the volume side is causing some higher interest expense -- floorplan interest expense overall, but the rate is not a driver of an increase in floorplan interest expense.
Joseph Mondillo - Sidoti & Company, LLC: So do you expect the expense to rise through the third or fourth quarter? I guess that's what I'm trying to get an idea of.
Mark P. Kalvoda: Yes, it will rise because of the higher inventory levels. As we said, we will build inventory even more so here in the third and that will drive higher interest expense.
Operator: There's no other questions in the queue. I'd like to turn the call back to David Meyer for any additional or closing comments.
David Joseph Meyer: All right. Thank you for your interest in Titan and we look forward to updating you on our progress on our next call. Have a good day, everybody.
Operator: Thank you, sir. And again, that does conclude today's call. Thank you to everyone that has attended and participated. Have a good day.